Operator: Good day, ladies and gentlemen and welcome to the Saia Incorporated Second Quarter 2012 Results Call. As a reminder, this conference is being recorded. At this time, I would like to turn the conference over to Ms. Renee McKenzie. Please go ahead. 
Renée McKenzie: Thank you. Good morning and welcome to Saia’s second quarter 2012 conference call. Hosting today’s call are Rick O’Dell, Saia’s President and Chief Executive Officer, and Jim Darby, our Vice President of Finance and Chief Financial Officer.
 Before we begin, you should know that during this call we may make some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements and all other statements that might be made on this call that are not historical facts are subject to a number of risks and uncertainties, and actual results may differ materially. We refer you to our press release and our most recent SEC filings for more information on the exact risk factors that could cause actual results to differ.
 Now, I’d like to turn the call over to Rick O’Dell. 
Richard O'Dell: Well, good morning, and thank you for joining us to discuss Saia’s second quarter results. I’m pleased to report that Saia delivered record earnings in the second quarter. In fact, we earned more in the second quarter of 2012 than we did in all of 2011. While there are many items that contributed these results at their core, our success was because of the hard work and dedication by every member of the Saia team. It is also gratifying that we achieved these meaningful improvements across a number of targeted areas.
 Let me get started by reviewing some highlights from the quarter compared to the second quarter of last year. Revenue was $288 million, up 8%. Earnings per share were $0.72 versus $0.21. Our operating ratio was 92.6 versus 96.9. LTL tonnage per work day increased 1.1%. LTL shipments per work day were down 2.1%. Our LTL yield increased 7.1%, primarily due to continued pricing actions and freight mix changes.
 I am pleased with the success across many fronts that resulted in a 430 basis point improvement in our operating ratio for the quarter. Saia's excellent service quality, continued progress with yields, and focus on operational excellence were key contributors to the margin improvement. Saia is well-positioned to continue to advance our value proposition with investments and quality, operational excellence and refinements in pricing.
 Here are few of the highlights that we achieved that contributed to our results this quarter: consistent delivery of 98% on-time service; industrial engineering initiatives and corresponding operational efficiencies reduced purchase transportation by 14%; fuel efficiency supported by our electronic onboard devices improved by over 6%; accident expense due to improved frequency and severity was 36% below last year; auto claims expense was 29% lower than last year.
 Our implementation of a granular, more sophisticated pricing and profit management philosophy over the past year has materially improved our yields. Our target marketing efforts and additional inside sales resources are contributing to our double-digit revenue growth in our field business. Ongoing investments in quality, technology and equipment continue to support operational efficiency, increased customer satisfaction and enhance company’s image. I believe our team’s execution with respect to customer service, yield management and optimization initiative has never been better and provided Saia with a solid foundation for further progress throughout 2012.
 Now I’d like to have Jim Darby review our second quarter and year-to-date results. 
James Darby: Thanks, Rick, and good morning, everyone. As Rick mentioned the second quarter 2012 earnings per share were $0.72 compared to $0.21 in the second quarter of 2011. For the quarter revenues were $288 million with an operating income of $21.2 million. This compares to 2011 second quarter revenue of $266 million and a reported operating income of $8.3 million.
 The LTL yield from the second quarter 2012 increased by 7.1% which primarily reflects the favorable impact of continued pricing actions. Continuing our trend from the past several quarters, yield showed steady improvement as we continued to achieve price increases and target poorly operating freight. Our industrial engineering initiatives and operational effectiveness have reduced our reliance on purchase transportation, significantly enhanced our fuel utilization and reduced our self-insurance cost.
 The quarter however did include higher costs from wage and benefit increases necessary to compensate our work force and meet customer requirements. Our investments in and commitment to our Quality Matters program are paying off. Our focus on safety training along with the decline in cargo claims resulted in $1.7 million reduction in claims and interest expense in the second quarter.
 Depreciation and amortization ran $12 million during the quarter versus $8.8 million in the prior year quarter due to our significant capital expenditures for tractors and trailers which are now in service.
 As we previously announced we implemented a 3% wage and salary increase companywide effective on July 1. This increase will add approximately $13 million on expense on an annualized basis. We anticipate the impact of this wage increase to be partially offset by further productivity and efficiency gains. Year-to-date revenues were $556 million compared to $509 million in the prior year period, a 9.3% increase. In the first-half of 2012 operating income was $32.2 million with net income of $17.4 million compared to operating income of $12.3 million with net income of $4.1 million in the prior year period. Earnings per share were $1.06 compared to $0.25 in the first half of 2011.
 Our effective tax rate was 38.3% year-to-date for 2012. For modeling purposes we expect our effective tax rate to be approximately 39% for the full year 2012. At June 30 2012, total debt was $90.7 million. Net of the company’s $0.8 million cash balance, net debt to total capital was 27.4%. This compares to total debt of $81.4 million and net debt to total capital of 25.1% at June 30, 2011.
 Net capital expenditures for the first half of 2012 were $69.3 million. This compares the $20.6 million of capital expenditures during the same period in 2011. The company is planning net capital expenditures in 2012 of approximately $80 million. This level reflects the purchase of replacement tractors and trailers. The company anticipates that the increased capital investments will favorably impact maintenance expenses in the future and has already reduced the age of tractor fleet. Also the 2012 planned capital expenditures includes Saia’s continued investment in technology.
 Now I’d like to turn the call back to Rick. 
Richard O'Dell: Thank you, Jim. On July 2, we acquired Robart Transportation Inc. and its subsidiary RL Services Group. Headquartered in Duluth, Georgia Robart Companies have a variety of customers with quality truckload brokers and logistics services since 1981. This acquisition supports our strategic goal of diversifying our portfolio of service offering for Saia’s customers. The Robart Companies bring the strength of longstanding customer relationships as well as their expertise in truckload and logistics. These companies operate well and have a talented management team led by their President, Sharon Burton. We planned to re-brand these companies in the fourth quarter and begin to cross-market their services to Saia’s 60,000 plus customers thereafter.
 We believe their cross-selling and bundling opportunities represent excellent growth opportunities for Saia over time. Second quarter was marked by significant margin and profit progress achieved through solid execution across our network. I believe our ongoing investments in technology and quality has set the stage for us to build up on these demonstrated results. We remain committed to our core strategy of improving yields, building density, enhancing customer satisfaction, and reducing costs through engineered process improvement and continuous employee training. The strategy provides the base for long-term profitable growth and increased shareholder and customer value.
 With these comments, we are now ready to answer your questions. Operator? 
Operator: [Operator Instructions] And we will take our first question from Jason Seidl with Dahlman Rose. 
Jason Seidl: Looking at your yields, they are obviously up very strong even in the face of what looked to be weight per shipment going against you and obviously diesel didn’t do much to help you in the quarter. So, could you help me out a little bit understand how much of this was just you pushing pricing through, and I know Jim you made the comment that pricing improved throughout the quarter, but also how much of it was from some of the programs that you’ve initiated over, let’s call it the past 6 to 12 months? 
Richard O'Dell: Obviously, we’ve been doing this for a period of time. Our theoretical yield model shows the true yield adjusted for length of haul and weight per shipment improved over 6%. Our contract renewals in the quarter again averaged over 6%. And I think if you really look at us, we’ve adopted a more granular pricing philosophy to make sure that we are properly compensated for quality, for lane imbalances, and for specialized services that we do. So, it’s a combination of things. I think the environment has been pretty good, and then we specifically identified some internal opportunities to improve and have made those improvements throughout our organization and our approach to the marketplace. 
Jason Seidl: Okay, that’s fair. When you look at your ability to offset some of the inflationary cost that you have with productivity, can you walk us through some of the key initiatives that are going to help you do that going forward? 
Richard O'Dell: Sure. I mean, we continue to support our efficiency initiatives with technology, I think if you look at the electronic onboard computer devices that we have, it certainly helped us with fuel economy. There's also some their recording devices in there. For instance, for hard breaking instances and following distances, et cetera, are helping us from a safety perspective. Some of the dark [ph] technology we’ve put in place and some handheld technology that we put in place is helping us from an efficiency standpoint in terms of managing for better route and we are in process of finalizing or further advancing a process, where we take a picture of every load. And in some of our major lanes, we take few pictures of the load at the halfway point, and at the final point, which has kind of helped us both from a low-quality perspective as well as make sure we have proper density on all of our trailers. So, I think there is a number of things across a bunch of fronts where we are continuing to improve. And I think if you look at this, we’ve been in a fairly flat tonnage environment or modest increased tonnage environment in our network for 2 years now. And so we just continue to hone and refine our processes and make sure we are rolling our technology and utilizing it to its fullest, and those things are clearly paying some dividends. 
Jason Seidl: Absolutely. I’ll leave some of the tonnage questions to everyone else because I'm sure they'll be asked, but Jim on the capital program, as a matter of fact, you guys are spending $80 million specifically you talked about that in some prior calls maybe you’re really -- you’re coming off of 2 strong capital years here in ‘11 and ‘10 -- excuse me, ‘11 and ’12 that’s after too extremely weak capital spending years ‘09 and ’10. Where should we think as we model out ‘13 should be, is it going to be even or is it going to be trend down a little bit, because you’ve already done a lot of the catch up? 
James Darby: Jason, that’s… 
Jason Seidl: I’m looking for directionally here? 
James Darby: Right, as you know we were heavily invested last year with our CapEx and this year to bring on new tractors and we've driven down the age of the tractor fleet below 6. Now we’re in about 5.7. So, we pretty caught up the deferred capital needs there, but I would expect what we’ll see next year is we’ll be elevating the spend on trailers. So, I would expect it to still be elevated at least for next year and then we’ll figure out from there. 
Jason Seidl: You mean, elevated compared for this year, elevated compared to some of your prior years? 
James Darby: More like this year. 
Jason Seidl: More like this year, okay. That’s very helpful. 
Operator: Our next question comes from David Ross of Stifel, Nicolaus. 
David Ross: Rick, you’ve done a lot of stuff over the last couple of years it really get [indiscernible] to where it is today which is actually one of the better one in the public space. What’s been the hardest thing to get right if you look at operations, sales, pricing or something else and then what item are you currently most focused on? 
Richard O'Dell: I guess, if I look at our business there is not -- I don’t think there is one thing that particularly complicated about our business. The complication in our business is that you have to manage everything well to have a good operating ratio. So, I guess the best probably the hardest thing, right, is to make sure that you’re advancing or you're optimal in every area, right? And I guess I would tell you probably the most difficult thing over the last couple of years has been to get kind of get our pricing right, the market has provided that opportunity because like everyone knew that the environment clearly needed to improve, so we took that as the opportunity to exercise some of the things that we knew that we needed to do. But I think that maybe that is the difficult thing from a pricing perspective because and I said this on the call a few times its pushing on price and making sure you’re properly compensated for your value proposition is somewhat of an inexact science. And you don’t know really know what the results are going to be until you take the risk. And so and I think we’ve done a good job of managing through this over the last couple of years and balancing our need and desire for tonnage versus our need and desire for yield. So, I don't know if that’s a good answer for your question, but... 
David Ross: No, it’s helpful. And I agree you've done a good job. The increase in average weight per shipment, talk a little bit about freight mix. Can you kind of breakdown maybe how much is this current customer shipping more with you maybe because their business is doing better, you’re providing better service and how much is just different kinds of freight that you’re winning? 
Richard O'Dell: I mean I guess, in terms of our business mix the Southwest and the Upper Midwest continued to be kind of our strongest from a tonnage and revenue growth perspective. And then our field business is actually growing. We were seeing double-digit growth in our field business amongst our smaller customers and then it’s probably as you might expect our national count business is actually negative from a shipment and tonnage basis. And I think what you’re going to -- what we’re seeing in a lot of cases is when we implement more sophisticated pricing by lane and for specialized services et cetera, in some cases we’re not as big a player with some of our national counts as we use to be. In a lot of cases we’re certainly maintaining relationships, but we don’t -- sometimes we don’t have as big a position with them because of the changes that we made in our pricing to be a little more sophisticated for what works best for us. So, I think that those things are probably impacting our business mix quite a bit. And I think some of our focus on yield lot of some minimum shipments don’t pay their way very well, so we’ve been focused on making sure we’re properly compensated by segment by customer. So, I think we’re seeing some increase in weight per shipment because of that, probably more so then the economy but it’s been pretty consistent. We’ve seen some pretty big increases in weight per shipment and revenue for shipment clearly contributed to our profit improvement. 
David Ross: Yes, definitely, and with the maintenance expense, is that declining yet? I know that the fleet’s been refreshed and average age is coming down. That’s I think in the fuel, operating expense and supplies line Jim, but you can just comment on what maintenance expense is doing? 
James Darby: Maintenance expense we haven’t seen the decline yet, Dave, because we were just getting some of the older units out and we did a lot of trades right at the end of the quarter. We expect that to drop off as we go into the second half of the year and be somewhat favorable from the run rate we've seen, but it hasn’t dropped off yet in the numbers you’re looking at. 
David Ross: Okay. And then last question on the Robart deal, how is that going to be reported in the numbers going forward, is that just going be a separate revenue line for logistics or is there going be revenue and operating income broken out? 
Richard O'Dell: We are still -- we're working through all that presentation type thing. I would tell you Dave what we're looking at for having in the last 6 months. The impact we expect from them is about $0.02 incremental and wouldn’t have a big impact on the revenue line and will get more precise as we’re going forward. 
Operator: Our next question comes from William Greene with Morgan Stanley. 
William Greene: I wanted to just get a little bit clarification. There is a couple of different trends here going on that I thought maybe you can help us to reconcile. So, you got a lot of initiatives in place that are creating improvement that would be better than the normal seasonality that we would see. And on the other hand we got all this macro uncertainty out there, didn’t seem fully reflected in your tonnage numbers, but maybe if you try to piece the 2 together and we look kind of going forward. How much of an improvement above seasonality should we expect in OR from the initiatives versus what’s kind of being taken away potentially by the economy? 
Richard O'Dell: Well, it’s first of all I mean I think some of the fundamental changes that we’ve made with our organization from a business mix management and pricing management we believe are sustainable through our value proposition. So, is that -- that’s probably the first answer and I’ll take you through some of the quality and efficiency initiatives that we’ve implemented I don’t expect those to go backward, so we would expect those things to be sustainable. We are seeing some softness from a tonnage perspective. If you look at sequential quarter-to-quarter our historical 2Q to 3Q performance has averaged about 0.5 point worse over the last several years. 
William Greene: That's the tonnage growth? 
Richard O'Dell: No, no sequentially operating ratio. 
William Greene: Operating ratio, okay. 
Richard O'Dell: Usually deteriorates about 0.5 point, so usually the 2Q is our best quarter of the year, right. There are some moving parts this year. We have an earlier general rate increase. We've got a wage increase that we announced of 3% that’s going into effect July the first and like last year that was in December. So that’s kind of -- that will accelerate a little bit. Our tonnage trends have softened a little bit into June and July which I think is probably kind of consistent with the economic news that we're seeing. And so with the strength of the second quarter and some of these factors, we think will probably in the range of a point higher than our historical average seasonal OR trends. 
William Greene: Okay and you mentioned that let’s just -- we’ll just follow-up on that just in terms of tonnage trends in July are they actually negative because you weren’t that positive even in the second quarter? 
Richard O'Dell: Yes. Jim can take you -- we normally report the monthly tonnage trends and Jim will take you through those. 
James Darby: William, I’ll walk you through it. As you mentioned, our LTL tonnage was up 1.1% for the quarter. But if you look at the breakdown of the individual month, April was up 1.8%, May was up 2.0% and June was down 0.5%. But this softened up a little bit in June. When we're seen month-to-date in July as far as LTL tonnage we're looking at being down about 1.6% versus July a year ago. 
William Greene: Okay. And how, when you think of the mix of it or when you look at kind of weight per shipment or the shipment count or do those follow similar trends? 
James Darby: I would say it’s tracking about the same in terms of with that being down the LTL shipment year-over-year are down a little bit more but the relationship's about the same. 
William Greene: Okay, but because of pricing and the initiatives you have in place you still think you can get a bit of an OR improvement in the third quarter? 
Richard O'Dell: Over last year? 
William Greene: Sorry, over second quarter. 
Richard O'Dell: No, what we said was normally it’s the OR is about 0.5 point worse and we expect it to be -- the OR to be a little bit higher than the historical trend. 
Operator: Your next question comes from Jack Waldo with Stephens Incorporated. 
Jack Waldo: I just want to make, hey Jim, just looking at the year-over-year comparison, I think your LTL tonnage was up 2.5% in the third quarter of ‘11 and I just want to make sure, it was pretty consistent throughout the quarter, is that right? 
James Darby: I don’t have third quarter ‘11 in front of me, but I don’t remember any big variances. 
Renée McKenzie: I’ll get back with you momentarily. 
James Darby: We’ll call you back, Jack. 
Jack Waldo: Okay. And then with the GRI in place, would you expect pricing to be up sequentially? 
Richard O'Dell: Yes. 
Jack Waldo: Okay, are there any -- aside from the GRI, are there any contracts maybe a percent of your book or anything that were renewed in the second quarter that would impact pricing as well? 
Richard O'Dell: Yes. I mean, I think -- and I commented earlier about our contract renewals in the quarter again averaged over 6%. So, our run-rate per yield is up pretty significantly and we’ve seen with an increase every month. And what I would tell you as well, tonnage trends would soften, I think the yield environment still been pretty good and I commented earlier that one of the goals we have obviously is to manage our yield progress and our tonnage to have an appropriate balance there for margins and we would expect to continue to do that going forward. And one of the positives obviously is a lot of the yield adjustments that we needed to correct -- material yield adjustments that we needed to correct our margins are behind us. So, I would expect as we have future contract renewals, there is not as much corrective pricing that needs to take place, which should have less risk from a tonnage perspective going forward. And yet, what we are seeing is that the yield environment is still pretty good. 
Jack Waldo: Got you. And then Rick the slowness that you are talking about, is it from any specific sectors or geographies? 
Richard O'Dell: I don’t think so. It seems to be pretty consistent. For us, the Southwest is a little bit stronger than some of the other areas and we continue to see that from a shipper perspective. 
Jack Waldo: Got you. And you are seeing any noticeable difference in your weight per shipment over the last month say relative to the previous 2 months? 
Richard O'Dell: It’s still up year-over-year. It’s actually slipped about 10 pounds, but we are at record levels couple of months ago, were 11.82, we never seen that number for I think months, now our LTL shipment is about 11.73, I think, it dropped about 10 pounds. 
Operator: Our next question comes from Scott Group with Wolfe Trahan. 
Scott Group: So I heard that you gave the monthly tonnage numbers, can you give us the same-store yields please and monthly yields through second quarter and what you are seeing in July? 
Richard O'Dell: We don’t give monthly sequential yield numbers, but what I would tell you is our yields and also we took a 6.9% general rate increase on July 9 and that applies to 25% to 30% of our business. So, you would expect -- as you would expect yields are up in July over where they were in June. And our contract renewals kind of renewed ratably through the year on the other 70% of our business. And as we commented, we are getting about 6% I think we had a 6% renewals through the quarter. So, that can -- that helps you from a modeling perspective or not. 
Scott Group: That helps. With the GRI being put in, in July just as it feels like free to slowing, does it feel like you are having a tougher time getting that GRI to stick? Does it feel like there is carriers that are being less aggressive with their GRIs, I’m just wondering if some of the tonnage drop off you saw in July is related to you guys being maybe more aggressive on the GRI than some other guys? 
James Darby: I mean, our general rate increase was in line with 90% of the marketplace from what I thought or my data shows anyway. So, I wouldn't think that will be a material impact. But I guess I don’t know we’re 3 weeks in we’ve been disciplined with the general rate increase. And we expect to continue to do that kind of see where the tonnage settles and while its softened a little bit. I’m not that displeased with the absolute revenue amount or our profit outlook at this point in time. 
Scott Group: So you’re not seeing a tougher time getting the GRI to stick relative to last year’s GRI? 
James Darby: No. I mean its early 3 weeks into the general rate increase, but we’ve made very, very few exceptions. 
Scott Group: Got you. Can you just -- maybe I missed what you were saying on the insurance side, is the benefit in this quarter is that an ongoing benefit or more one-time, how should we think about that claims in insurance sign it was 2.1% of revenue in the second quarter, is that a good way to think about it going forward? 
James Darby: What I would tell you about that is that’s affected both by our improvement in our cargo claims and which we think should be sustainable but it was also affected by favorable severity in the quarter which probably versus what we would project as normal severity probably saved us about $1 million on that line. So if you -- if you are looking on out for the claims in insurance line, the severity which is hard to predict probably it was favorable by about $1 million. 
Scott Group: And how do we think about, Jim, the maintenance improvement that you had just talked about one on the earlier questions going forward? 
James Darby: We think it will start impacting us because we’ve got most of the older units out now. We’ve sold off most of older units. The new ones are in service. We think we’ll start seeing modest improvement in the maintenance lines in third and fourth quarter maybe a $1 million, $1.5 million a quarter. 
Scott Group: Okay, that’s great. And just last thing, wanted to clarify, the comment about the OR were you suggesting that if it’s normally 50 basis points worse that it’s going to be a 100 basis points worse or 150 basis points worse than second quarter I guess I wasn’t sure of what you’re trying to say? 
James Darby: Probably in the range of 150 basis points. 
Scott Group: Worse than second quarter? 
James Darby: Right. And as you might expect I mean obviously there's some potential volatility around that with self-insurance and other issues. 
Scott Group: Do you think fuel was a benefit or a hurt in the second quarter? 
James Darby: In the second quarter the fuel was favorable, there were some pretty favorable fuel dynamics and that’s one issue that we don’t believe to be sustainable, kind of unusual. I mean I think our fuel surcharge mechanisms clearly worked pretty well. And kind of the situation we had this quarter was that the wholesale to retail spreads were at unusually high levels and we get our surcharge offered retail fuel and we buy fair amount of our fuel on wholesale basis. We had a temporary benefit during the quarter. 
Scott Group: That spread is narrowed in third quarter? 
James Darby: Correct. 
Richard O'Dell: Yes. 
Operator: Our next question comes from Tom Albrecht with BB&T. 
Thomas Albrecht: That gut feeling I had in mid-June, nice to see it play out there. I wanted to explore a couple of things here because you got such a great ball of opportunities here to continue to improve things. On your purchase transportation expense being down $3.5 million, is that overwhelmingly because you’re able to manage your network better and have to -- and be able to use your own equipment or is there something else behind that? 
Richard O'Dell: I think it’s a combination of managing our network efficiently with the combination optimizing our internal miles and selectively using purchase transportation appropriately where it makes sense. And then I would tell you that it’s also some of our pricing actions may have optimized sub-optimal lanes I would say, in other words, freight that wasn’t paying its way in the head-haul lane. When it goes away, then you are not buying the purchase transportation. So, the combination of the 2 is favorable to margins. 
Thomas Albrecht: And then on the fuel and operating expense line as a percentage of that Jim, how much of that would be roughly maintenance in operating supplies? 
James Darby: I would say if you're talking about maintenance for a part and outside maintenance that probably runs about $12 million for the quarter. 
Thomas Albrecht: Okay. And so… 
James Darby: And I think that was flat, Tom. 
Thomas Albrecht: I’m sorry? 
James Darby: That was flat -- we haven’t seen that improved yet. 
Thomas Albrecht: Right, that’s my question. So, I know in the April call, you articulated that at some point maintenance costs would begin to fall once the fleet got refreshed to a certain level. Is that something we can start to see a little bit in Q3 or still a little bit later and to what extent might it fall? $1 million a quarter or do you have a sense yet? 
James Darby: Hard for me to predict, but yes we are expecting it to fall starting in third and fourth quarter, because we have got most of the older units out now and the newer ones are running and in service. So, we expect to see some benefit in third and fourth quarter maybe $1 million and $1.5 million a quarter. 
Thomas Albrecht: Okay. And then I went back and looked at your ORs, the quarterly ORs since you spun out of Javik or whatever IRC. And the best you’ve ever done that I've got is 92.4 in the second quarter of 2006. Setting aside sequential changes in ORs in that, have you thought though over the next 2 or 3 years, where your OR could potentially go, because you are basically in the best ever territory of 92.6, but with very little help from the economy and with a sense that there is still enormous buckets of productivity and efficiencies to drive. Do you have a thought where we look out where that OR might go? 
Richard O'Dell: Yes, I mean, just modeling obviously, then I think if we could get a combination of some economic -- positive economic environment and even a modest rate environment with some of our improved pricing sophistication, I mean, there is obviously multiple additional OR points at least 2 or 3 right? 
Thomas Albrecht: Well, that would be my sense and I’m not viewing that as guidance, I’m just feeling that is the discussion. So, the other thing… 
Richard O'Dell: Tom, I would say this and I’d say this internally to our organization too, I mean, I consider the things that we have done thus far, while I think we have clearly made some good progress and it’s really manifested itself kind of over the last 3 quarters absent some accident volatility we had in the fourth quarter, but I consider where we are to be work-in-process. 
Thomas Albrecht: Yes, that’s sort of my sense. Okay, last question kind of dovetailing off of what Jack asked about. On the weight per shipment, you made some comments Rick on -- some of that maybe due to your own initiatives. So, I want to understand that a little bit better, how much of that is changing mix or changing versus maybe strengthen your customers’ organic shipments? 
Richard O'Dell: I mean, in my opinion it's mostly mix management. 
Thomas Albrecht: Okay. I mean, what do you mean by that exactly? 
Richard O'Dell: Meaning we’ve restructured pricing with amongst a large number of customers and 3PLs probably drove some minimums, I know what we viewed as being unattractive minimums to somebody else who thinks they work better for them. 
Operator: Our next question comes from Art Hatfield with Raymond James. 
Arthur Hatfield: Just a couple of actually numbers and you may not have some of these available, so I can get them later if not, but first by chance do you have the working days for 2013 and by quarter if at all possible handy? 
James Darby: For 2013? 
Arthur Hatfield: Yes. 
James Darby: We'll send them to you. We have that because we’ve looked at it we will get them to you. 
Arthur Hatfield: Yes, no problem and that will be helpful. And then just as we think about the back half of the year you made some commentary about the historical OR movement Q2 to Q3. If I would look back Q3 to Q4 is kind of in that 100 to 150 basis point range am I right in that number or did I not go back far enough and looking at your history? 
James Darby: We came out with an average of about a 0.5 point OR worth, but.. 
Arthur Hatfield: Q3 to Q4 or 3 to 4. 
James Darby: I think you are about right, we’ll confirm that. 
Richard O'Dell: Three to four, yes that’s right I am sorry. 
James Darby: Three to four. That sounds right, Art, and we will get to that when we get the work days as well because we… 
Arthur Hatfield: Okay, that’s helpful. And then just kind of thinking about going forward you’ve done such a great job implementing productivity improvements more efficiency to the network. And I would guess that's a little bit easier to do in an environment where your volumes are where they’ve been at recently. How do you deal with the fact that when volumes start to come back and you start to add costs I guess first what level of volumes do you think you can handle without a big increase in costs at this point in time, and what do you do to kind of maintain those efficiencies as volume start to come back into the network? 
Richard O'Dell: Sure we had facility capacity in the 15 to 20% range. We have equipment capacity probably in 5% range. And I mean we’ve managed through growth environments in the past and I think that we actually have put some framework within our organization to manage through seasonality better than we have ever done before to planning staffing planning for vacations et cetera and we have improved our sophistication there in some of our internal tools. And I would expect that we would -- that would help us to manage just like we managed through seasonality this will help us manage through a period of growth as well. So I mean I actually feel like we have a better framework today to manage through growth than we have in the past and just like what we are seeing today we are actually obviously growing in certain segments and within certain regions of our company and other ones where we made some pricing adjustments that resulted in the tonnage declines where we are managing costs there effectively as well. So I guess in my opinion are some of our operational excellence and the sophistication that we have there should help us manage through those growth periods and maintain I would actually expect to some improvements from density. I mean that’s the one challenge that we’re faced with today is actually improving our efficiency without the benefits of density. And historically obviously that's what you would seek and what you would expect is to be able to leverage those tonnage increases and not have to grow your labors quickly. 
Arthur Hatfield: Right, I think the environment we’re in today shows the power of good cost controls and what pricing can do for you if managed correctly. Great, that’s all I got today. 
Operator: We will take a follow up question from Jason Seidl with Dahlman Rose. 
Jason Seidl: Quickly the percent of business that you in the quarter that you had with third party brokerage versus the prior year what was that? 
Richard O'Dell: We don’t have a specific number in that, it’s probably is in the range of in excess of 20% of our revenue 
Jason Seidl: What was it last year? 
Richard O'Dell: It’s actually up our, 3PL business is actually up. 
Jason Seidl: Okay and that’s helpful and just can you remind… 
Richard O'Dell: I think some of our pricing actions have impacted the mix of our 3PL business. 
Jason Seidl: Okay, so it’s up but it might have switched the people that you’re dealing with? 
Richard O'Dell: Right or the types of shipments and some of the lanes that we have is just like some of our more granular pricing with our major customers, we're doing some of the same things with the 3PL pricing. 
Jason Seidl: Okay, it makes a lot of sense. Jim, could you remind us the OR impact in 4Q of last year from the severe accidents which you had right at the end of the quarter and if you don’t have it in front of you, you can get it to me offline. 
James Darby: It was about $3 million. 
Jason Seidl: $3 million, okay, I’ll leave on that then. 
Operator: I’d now like to turn the call back over to the speakers for any additional remarks. 
Richard O'Dell: Alright. Well, thanks for your interest in Saia and we appreciate it and we’ll talk to you guys soon. 
Operator: Thank you, ladies and gentlemen. That will conclude today’s presentation. We do appreciate your attendance. You may now disconnect.